Operator: Good morning. My name is Megan, and I will be your conference operator today. I would like to welcome everyone to the Third Quarter Slb N.V. Earnings Call. At this time, all participants are in a listen-only mode. After the speakers' remarks, there will be a Q&A session. As a reminder, this call is being recorded. I will now turn the call over to James McDonald, Senior Vice President of Investor Relations and Industry Affairs. Please go ahead.
James McDonald: Good morning, and welcome to the Slb N.V. third quarter 2025 Earnings Conference Call. Today's call is being hosted from Houston following our Board meeting held earlier this week. Joining us on the call are Olivier Le Peuch, Chief Executive Officer, and Stephane Biguet, Chief Financial Officer. Before we begin, I would like to remind all participants that some of the statements we will be making today are forward-looking. These matters involve risks and uncertainties that could cause our results to differ materially from those projected in these statements. For more information, please refer to our latest 10-K filing and other SEC filings which can be found on our website. Our comments today also include non-GAAP financial measures. Additional details and reconciliations to the most directly comparable GAAP financial measures can be found in our third quarter earnings press release which is on our website. With that, I will turn the call over to Olivier.
Olivier Le Peuch: Thank you, James. Ladies and gentlemen, thank you for joining us on the call. I will begin today by discussing our third quarter performance, then I will describe the near-term outlook for Oil and Gas markets. Finally, I will share our guidance for the fourth quarter. Stephane will then provide more details on our financial results and the structure of our new digital division. After that, we will open the line for your questions. Let's begin. Our fourth quarter unfolded in line with expectations. We achieved sequential revenue growth driven by the addition of two months of activity from Champagnex, our digital business, and the resilient performance of our core. In the International Markets, revenue rose 1% sequentially, with notable increases in several countries across The Middle East and Asia. Across this region, sequential growth was seen in Iraq, United Arab Emirates, Oman, Egypt, China, East Asia, Indonesia, Australia, and India. Alongside broader improvements in offshore activity across Vienna, Sub-Saharan Africa, and Scandinavia. Meanwhile, revenue in North America grew 17% sequentially. This was driven mainly by the contribution of Champagnex, followed by higher offshore activity, which more than offset a decline in U.S. Land activity as U.S. Shale operators focused on further efficiency gains and cash preservation during the quarter. We also experienced strong growth in our Data Center Solution business, extending our reach with hyperscalers to a new market for Slb N.V. This quarter marks the first time we have disclosed our data center revenue, which has more than doubled year on year. Looking ahead, we foresee expansion beyond The U.S. along with the onboarding of new customers. Next, let me discuss the performance of our divisions. I will begin with Digital, as this is the first quarter we are reporting Digital as a standalone division. As you have seen in our release this morning, our digital business is comprised of four categories where Slb N.V. offers solutions that help unlock productivity for geoscientists and engineers, drive step change in efficiency and safety in operations, and help our customers in delivering better wells and higher producing assets. These solutions are embedded in platform and applications, digital operations, Digital Exploration, and Professional Services. Each of which Stephane will describe in more detail a little later in this morning's call. Specific to the third quarter, digital revenue increased 11% sequentially. This was driven by a 39% increase in digital operations, enabling digital services and automation capabilities augmenting our offering from our core divisions. Of note, automated drilling footage increased by more than 50% year on year. This was also supported by the addition of new connected assets from Champagnex. Following the integration, we now have a combined total of more than 20,000 connected assets deployed in the field, providing additional digital insights and optimization for our customers. One of the reasons digital operation is such an exciting area of growth is because it presents the opportunity to enhance every service and piece of equipment that we deliver. By embedding digital capabilities, we enhance performance and unlock the power of autonomous operations, creating an adjacent and fast-growing digital market that strengthens our core offering. In the earnings release published this morning, you would have seen a broad range of examples of platform and application being adopted by customers across all basins, customer types, and life cycles. These examples demonstrate the global reach of our digital brand, the impact of our platform strategy, and the emergence of AI as a transformative force in our industry. This quarter, for example, we secured key contracts awarded to our OptiSite production suite, which enables customers to process comprehensive data streams through cloud-based applications to drive productivity and efficiency across assets and facilities in the field. We also announced a collaboration with AIQ to deploy its Energi, AgenTeq AI solution for ADNOC, powered by Slb N.V. Lumi data and AI platform. These are meaningful milestones that speak to the momentum behind our digital business, and you can expect to hear more announcements in the weeks ahead that further demonstrate the impact and scale of these solutions. Turning to the financial performance of this business, we expect our digital revenue to continue growing at a rate that visibly outperforms global upstream spending and that exceeds the growth rate of our core business by double digits. At the same time, we expect Digital to continue delivering highly accretive margins to the company. In the core, I was very pleased with the resilient performance of this quarter, given the challenging macro environment. Excluding the impact of the Champagnex contribution, the core divisions of Reservoir Performance, Well Construction, and Production Systems were essentially flat sequentially. This demonstrates how our global footprint and broad portfolio help us to navigate regional uncertainties and offset localized headwinds. Specific to our Production Systems division, already benefiting from the addition of Champagnex, which delivered revenue growth and margin contribution ahead of expectations. We are very pleased with the integration so far, and in addition to the strong delivery of the team, we continue to receive positive feedback from our customers. For example, we recently delivered a combined ESP string using a Champagnex pump with an Slb N.V. induction motor for a main operator in the Panama Basin. By bringing together these two best-in-class technologies, we improved performance for unconventional wells and enabled faster installation, reducing downtime and strengthening project economics for our customer. And in The Middle East, we have received several contract awards for Artificial Lift, well testing, and production chemical technologies that leverage the combination of Slb N.V. and Champagnex solutions and engineering capabilities. Moving forward, in the context of tighter industry economics and mounting pressure from production declines, our customers are placing greater emphasis on production recovery solutions to unlock additional barrels at the lowest possible cost with maximum capital efficiency. This presents an exciting growth opportunity for companies who can offer solutions and technology to optimize production and maximize recovery from maturing assets. And technology will be the key. This is where Slb N.V. has a distinct advantage and why we have made production recovery a strategic focus for our business. By combining our deep subsurface expertise, the industry's broadest lift, intervention, and chemical technology portfolio with unique integration and digital capabilities, we offer a differentiated value proposition to our customers. This offering now includes Champagnex, which brings unique technical capabilities and a strong track record of customer success, from production chemicals to artificial lift, enhanced with digital capabilities. And we continue to develop our portfolio with strategic investments, including our recent acquisitions of Resman Energy Technology and Stimline Digital. Altogether, our production recovery offering adds another level of growth to our business, with combined exposure to CapEx and OpEx spend, complementing our leadership in upstream exploration and development. Now turning back to our quarterly results, and considering the market conditions we faced during the past few months, I am pleased with our performance. We achieved resilient results across the core divisions, delivering early success with Champagnex and continuing the momentum in digital. And there are several bright spots on the horizon. Thank you to the entire Slb N.V. team, including our new colleagues from Champagnex, for your excellent contribution this quarter. Next, I will discuss the ongoing macro environment and the near-term outlook for oil and gas markets. In an environment with increasingly challenging commodity prices and uncertainty on demand-supply balance, the industry has so far proven disciplined, and most long-cycle and international activity is demonstrating resilience. It is difficult to predict the exact outcome of further production increases and ongoing geopolitical developments, but the fundamentals for oil and gas remain constructive. Global inventories still reside at multi-year lows, and the need to offset natural production decline accounts for nearly 90% of annual upstream investment. These dynamics create a supportive environment for sustainable investment in the near to mid-term, barring a dramatic shift in commodity prices. Against this backdrop, with the exception of a few well-known markets where activity has recessed, global activity has stabilized with many locations still on the rise. To touch on international markets, many countries remain poised for investment growth tied to long-term capacity expansion plans and assurance of energy supply, particularly for gas. Notably, while OPEC+ production releases are currently being filled using capacity behind the pipes, additional releases will eventually require new infill drilling or new development to meet the higher supply output from these countries. This presents a positive catalyst for activity in member countries and reinforces the potential for higher activity in 2026. Specific to deepwater markets, the pipeline remains very healthy with favorable economics. We expect further investments in countries across the Atlantic, supported by oil, and in Asia driven by gas. And while short-term scheduling uncertainties have resulted in white space, partly in Sub-Saharan Africa, we expect this to progressively disappear as there are a number of FIDs planned for 2026 and early 2027. Meanwhile, in North America, operators continue to prioritize production maintenance as a result of commodity prices, underpinned by efficiency improvements leading to muted activity in the near to mid-term. In this context, considering the current industry dynamics and commodity price environment, we believe the conditions are set for when the supply-demand rebalances for the international markets to lead future activity rebound, and Slb N.V. is well-positioned to benefit from such an event. Now that we have discussed the market conditions, let me describe how we see the fourth quarter unfolding for our business. We expect that we will achieve a sequential step-up in results in the fourth quarter with high single-digit top-line growth. As we report a full quarter of Champagnex and generate seasonally higher year-end digital and product sales. With the third quarter results behind us, we are now in a position to confirm that second-half revenue will be within the midpoint of our previous guidance range of $18.2 billion to $18.8 billion. We also expect the fourth quarter adjusted EBITDA margin to expand 50 bps to 150 bps sequentially. This will be driven primarily by increased earnings contribution from both digital and Production Systems, including a full quarter of Champagnex results and fully restored operation on our IPS ECOLA assets. Specific to the digital business, we expect a significant increase in the fourth quarter on seasonally higher sales across the portfolio. As a result, we believe our digital division will be able to achieve double-digit growth year on year with EBITDA margin reaching 35% on a full-year basis. Overall, Slb N.V. continues to demonstrate resilience in navigating the challenging market environment. Our strength in digital, coupled with our growing presence in the production recovery space, will expand our leadership in the sector and help us drive positive outcomes for our customers. I will now turn the call over to Stephane to discuss our financial results in more detail.
Stephane Biguet: Thank you, Olivier, and good morning, ladies and gentlemen. Third quarter earnings per share excluding charges and credits was $0.69. This represents a decrease of $0.05 sequentially and $0.20 when compared to the first quarter of last year. We recorded $0.19 of charges during the first quarter. This includes $0.12 of merger and integration charges largely related to the Champagnex acquisition that we closed during the quarter, as well as approximately $0.04 related to workforce reductions and $0.03 related to the impairment of an equity method investment. Overall, our third quarter revenue of $8.9 billion increased $382 million or 4% sequentially. I recognize that there are a lot of moving pieces this quarter, so let me bridge our Q3 revenue to Q2 at a high level. $579 million of the sequential revenue increase comes from the two months of activity we recorded this quarter from the acquired Champagnex businesses. This increase was partially offset by the loss of approximately $100 million of APS revenue due to production interruptions arising from a pipeline disruption in Ecuador and the absence of approximately another $100 million of revenue following the divestiture of our interest in the Palliser ATS Project in Canada at the end of the second quarter. In other words, after considering the revenue contribution from Champagnex and the impact of the lower APS revenue due to the two factors I just mentioned, revenue was essentially flat on a sequential basis. Our pretax segment operating margin declined 32 basis points sequentially to 18.2%. The impact of the two months of Champagnex was accretive to these margins as Champagnex contributed $579 million of revenue and $108 million of pretax income in the quarter. Company-wide adjusted EBITDA margin for the quarter was 23.1%, representing a sequential decrease of 92 basis points. The effect of the pipeline disruption in Ecuador negatively impacted our EBITDA margin by approximately 60 basis points. In addition, the divestiture of our interest in the Palliser project resulted in a further 30 basis points reduction. I will now go through the quarterly results for each division. Let me begin by sharing more detail about our new digital reporting structure. As Olivier described earlier, digital is a fast-growing business, and Slb N.V. is at the forefront of this industry transformation. We expect our digital business to grow faster than our core business for the foreseeable future with margins visibly accretive to the rest of the company. As such, our intent is to increase transparency around our digital business and better highlight its strategic value. To do this, we are now reporting digital as a standalone division. At the same time, our APS business is now being reported in the All Other category, together with our Data Center Solutions and Slb N.V. Capturing businesses. To provide you with better insight into these changes, as well as the impact of Champagnex, we have included supplemental pro forma financial information going back to 2024 as an exhibit to the Form 8-K we filed this morning for our earnings press release. Getting back to digital, revenue is captured and will be reported across four categories where Slb N.V. offers solutions for our customers: Platforms and Applications, Digital Operations, Digital Exploration, and Professional Services. Let me briefly describe each of these categories. Additional details can be found in question 11 to the FAQs at the back of our earnings release. The first category, Platforms and Applications, includes Slb N.V.'s cloud technologies, such as the Delphi and Lumi platforms, along with a suite of specialized domain-focused applications such as Petrel and Techlog, offered as SaaS subscriptions or perpetual licenses. These platforms and applications automate complex models, unlock data, and utilize AI and machine learning to reduce cycle time and improve the efficiency of workflows. This allows our clients to make better, faster decisions to improve their project economics and reservoir performance. With the exception of one-off license sales, revenue in this category is recurring in nature, underpinned by a globally installed software base built over four decades, and complemented by growing adoption of cloud-based capabilities and IoT-enabled solutions. As a result, Platforms and Applications has high retention rates and very limited churn. As illustrated by the fact that the net revenue retention rate was 103% at the end of the third quarter. This represents the percentage of recurring revenue retained from our existing customer base over the last trailing twelve months relative to the prior trailing twelve months. The second category is Digital Operations, which combines the unique strength of Slb N.V.'s core Oilfield Services and products with advanced digital technologies to deliver more reliable and more efficient field operations. By integrating connected solutions with performance live digital service delivery centers, customers gain real-time monitoring, remote decision-making, and automated execution across their workflows from autonomous drilling to automated well intervention. Revenue in this category is generated from the same client base as our core divisions and is therefore repeatable. Additionally, a portion of the revenue is recurring in nature. To incentivize the three core divisions, Well Construction, Reservoir Performance, and Production Systems, and digital to develop and promote this offering, the resulting revenue is recognized in both the respective core division as well as in the Digital division. This revenue is then eliminated in consolidation. The third category is Digital Exploration. Digital Exploration represents our Exploration Data business. Our differentiated library of site surveys and other subsurface data covers key exploration and producing basins worldwide. These licensed data sets are refreshed and reprocessed to benefit from the latest imaging algorithms and AI technologies enabled by high-performance cloud computing. Revenues are generated from one-time non-transferable license sales and are therefore non-recurring in nature. Professional Services makes up the fourth revenue category. This includes consulting and other services required to support our clients' digital transformations. These services include transition support from on-prem to cloud-based digital solutions, data cleanup and migration, and workflow automation, including deployment of solutions built using our global network of innovation factories. Professional services revenue is largely project-based, and repetitive engagements with the same customers are common. These services generate pull-through opportunities across the overall digital revenue streams. In addition to reporting revenue across each of these categories, we will also share annual recurring revenue or ARR on a quarterly basis. ARR represents the annual value of recurring subscription and maintenance revenue from platforms and applications along with the recurring portion of digital operations, providing a measure of predictable revenue over the next twelve months. Now that I have described our digital reporting structure in more detail, I will walk through our first quarter digital results. First quarter digital revenue of $658 million increased 11% sequentially, and adjusted EBITDA was $215 million, reflecting a margin of 32.7%, up 123 basis points sequentially. Third quarter sequential revenue growth was driven by robust sales of Digital Exploration, coupled with increased digital operations. It also reflects two months of activity from Champagnex, which contributed digital revenue of $20 million. Annual recurring revenue stood at $926 million at the end of Q3, representing year-on-year growth of 7%, highlighting our ability to continuously expand our offerings in platforms and applications and digital operations, as well as secure new customers. Turning to the core divisions, Reservoir Performance revenue of $1.7 billion declined 1% sequentially as higher activity in Europe and Africa was more than offset by lower revenue in The Middle East and Asia, primarily in Saudi Arabia. Pretax operating margin of 18.5% was essentially flat sequentially. Well Construction revenue of $3 billion was flat sequentially as higher revenue in offshore Vienna and North America were offset by lower drilling activity in Saudi Arabia and Argentina. Margins of 18.8% were essentially flat sequentially. Production Systems reported revenue of $3.5 billion increased $542 million or 18% sequentially. This reflects two months of activity from the acquired Champagnex Production Chemicals and Artificial Lift businesses, which contributed $575 million of revenue. Pretax operating margin of 16.1% declined 66 basis points sequentially, driven by an unfavorable geographic mix in completions and lower subsea margins. This decline was partially offset by the accretive margin contribution from Champagnex. On a pro forma basis, Production Systems revenue of $3.8 billion was flat sequentially, with lower completion sales offset by increased sales of valves and production chemicals. While it is still early days, we are quite pleased with the performance of Champagnex, which recorded another quarter of year-on-year revenue and margin growth, demonstrating the resilient nature of this production OpEx-based business. Going forward, these results will be further enhanced by the $400 million of annual pretax synergies that we expect to generate within the first three years after closing. We remain confident that we will be able to realize 70% to 80% of the synergies within the first twenty-four months of the transaction. As a result, we expect the transaction will be accretive to both margins and earnings per share on a full-year basis in 2026. Now turning to our liquidity. During the quarter, we generated $1.7 billion of cash flow from operations and $1.1 billion of free cash flow. These amounts include the payment of $153 million of acquisition-related items during the quarter. Capital investments, inclusive of CapEx and investments in APS projects and exploration data, were $581 million in the quarter. For the full year, we still expect capital investments, including the impact of Champagnex, to be approximately $2.4 billion. We expect that following our historical patterns, free cash flow will increase in the fourth quarter on the back of lower inventory as a result of year-end product sales as well as higher customer collections. The extent of the sequential step-up in free cash flow will largely depend on cash collections in certain countries. Finally, we repurchased $114 million of our stock during the quarter, which brings our total stock repurchases to $2.4 billion on a year-to-date basis. When combined with our $1.6 billion dividend commitment for the year, this will result in us returning a total of $4 billion to our shareholders for the full year. I will now turn the call back to Olivier.
Olivier Le Peuch: Thank you, Stephane. Megan, I think we are ready to open the floor for questions.
Operator: We will now begin the Q&A session. If you would like to ask a question, please press *1 on your telephone keypad. Your first question comes from the line of David Anderson with Barclays. David, your line is open.
David Anderson: Hi, good morning. The IEA put out a report highlighting the increased global decline rates and the need to spend capital just to offset these barrels each year. Now that you have Champagnex in the fold, and you have created what looks to be the largest production-focused business and services, we think about chemicals, lifts, subsea, something like 40% to 45% of your revenue. Can you talk about how you see this part of your business growing? It's a little confusing when I think about your core business because this seems a little bit different. But how do you think about this part of your business growing, particularly with deepwater development ramping up? And I am just wondering, do you think the production should outpace the upstream-driven part of the portfolio through the end of the decade? Is that the right way to think about it in terms of the opportunity set?
Olivier Le Peuch: I think the right way to think about it first is what the customer is looking for. And I think as you pointed out, it's clear that the natural decline that is weighing on the industry has to be offset not only by infill drilling and new developments, but there is increased recognition by the customer that production and recovery is a new theme that needs investment, technology, innovation, integration, and capability to lift and enhance production and hence recovery through technology and disruptive solutions that the industry needs. So we are positioning ourselves with this acquisition of Champagnex not only to address both the OpEx and the CapEx market as a larger market and hence as a larger share of the wallet of our customers, but also as a more resilient space as the OpEx has indeed been growing at a higher pace than CapEx lately and will continue to do so. But more importantly, I believe, is that we are able to unlock new solutions because we have the broadest portfolio with this addition. We have the broadest lift portfolio, the largest intervention portfolio in the market, and we have now science in chemistry and capability in the industry that not only touch the production from the wellhead to the process but also the reservoir. And I think when combining this with established integration capability of digital, I think we have something that the industry is looking for. And I think the customer feedback we are getting is actually extremely good because they are all increasingly focused on production recovery as a way to add to their production target. And it's an "and," not an "or." The end of upstream exploration development will be complemented by production recovery. It's a market that will expand long-term, and in this market, we believe we have a leadership position that we have established.
David Anderson: And so shifting over to digital, thrilled to see all the breakout here. I have a million questions here. I am going to try to keep it to a handful of things just to focus on. Stephane, you talked about the four different segments here. I was wondering if you could kind of just talk a little bit about how we should be thinking about those four segments, how they should be trending, and what the drivers are for those four segments. I guess the exploration part, but kind of the rest of it. And then secondarily, you highlighted $900 million in recurring revenue year-to-date, up 7% from last year. I am just curious, are you expecting this to accelerate? Did you think it was going to grow more or less this year? And how should we think about that going forward?
Stephane Biguet: Thanks for all the questions. Indeed, it's a lot of additional info. So the ARR above $900 million already, yes, it's growing, and we clearly anticipate this to continue growing as we not only offer more to our existing customers but also secure new customers. So probably going into Q4, we can be looking at probably high single-digit growth for ARR. And with the kind of number you see now, we are not too far, I believe, from getting into next year and getting to $1 billion of ARR, which really provides a very good baseline revenue. For the rest of your questions, I will pass it to Olivier.
Olivier Le Peuch: Yes. No, thank you, Stephane. No, David, clearly, there are different dynamics for the four buckets. But I think if you have to look at the platform application, this is where customer adoption and expansion of our offering will give us the opportunity to continue on our journey to accompany our customers across the subsurface, across the production drilling, and across their data and AI capability. So the expansion of AI into that space, and you have seen several announcements during the earnings press release this morning showing that this will be a driving force for further growth. The deployment of clouds, both hybrid and public clouds, continuation of our platform transition that we have seen, and the continuing adoption of the capability we keep adding to our offering, the application we have seen. So this is all about customer adoption, technology transition from desktop to cloud to AI. So the digital portion is all driven by adoption for everywhere we touch, for every product and equipment we deliver, we will continue to add digital services, automation, and autonomous capability to complement this offering. So this would be added to the core. It's jointly to the core, but it's an exciting adjacent space to the core that we grow and fast faster-paced growth ahead of the core. You have seen this quarter, you have seen the year on year, and we are talking about 50% year on year growth. This is remarkable. The digital exploration is linked to the exploration market, but it's increasingly becoming digital because the customer recognizes they need to use more digital insights before they drill the first well. Hence, it will be linked, and it will be up and down, highly variable from quarter to quarter. But yet trending, in our opinion, positively. And Professional Services, I think, have to support the three buckets. And have the capability we put inside the customer office ahead of the on large engagements with consulting engagements or during the transition of that data space into our offering. This is what drives this. So it's different drivers, but altogether, we believe over time, this will all be positive, leading to each other to create sustainable growth going forward as we say outpacing CapEx spend.
David Anderson: Appreciate the insight. Thank you.
Olivier Le Peuch: Thank you. Thank you.
Operator: Your next question goes to the line of James West with Moelis Research. James, your line is open.
James West: Thanks. Morning, Olivier and Stephane.
Olivier Le Peuch: Good morning, James.
James West: So curious on two key markets here for you guys where you have a nice dominant position that I would love to get your thoughts on. First is deepwater. As we look out into 2026, obviously, it's been very resilient although some white space, but it looks like we are going to kick off a lot of campaigns next year. Just love to hear your thoughts on how we should think about that unfolding and Slb N.V.'s position?
Olivier Le Peuch: No. First and foremost, I think deepwater remains here to stay and is here to grow as a market. It has several economics. And it is seen as a place to invest to unlock new resources. You see it's not only development FID, but it's also exploration. The border is going on and is steady and is growing. So now if we look at activity and the schedule of the rigs that we foresee going forward, actually, we are foreseeing that white space that developed in the last eighteen months is starting to dissipate. And we believe from a rig activity drilling activity, we may say that we are at the bottom this quarter in 2025. And we expect, although very gradual, we expect strengthening of the rig activity to support this both exploration and development FID coming in the pipeline. With a gradual strengthening and an uptick in the later part of the year that is currently scheduled and strengthening further in 2027. And we see it from the call from our customers to prepare the subsea pipeline that corresponds. We are happy with our Subsea position. We will be closing the year with growing both booking and backlog to be ahead of last year both and to place us to a position where Subsea should grow not in 2026, materially in 2027 as a consequence of this pipeline. So we are confident that it's on the horizon. And I think we will start to see the strengthening happening step by step.
James West: Got it. Okay. That's great. Thanks for that Olivier. And then the other market, the Kingdom Of Saudi Arabia, has gone through some gyrations here in recent quarters, but it seems to me like at least that we may have found somewhat of a bottom and maybe looking to add activity next year. Is that consistent with what you are seeing in that market? I know it's a sizable market for yourself.
Olivier Le Peuch: No, I would comment on the activity. I think it is our assessment indeed that we have reached a stabilized activity, if not bottom, in the current level of activity we see. And we are anticipating a likely rebound in the near to mid-term. And directionally, we are anticipating that we should expect increased activity in 2026 for both gas and oil for different drivers. Gas continues to support the expanded capacity commitment to 2030 and then commercial Jafurah and other assets in the country. And for oil, in relation to supporting the extra supply that is delivered to the market and assurance of supply through intervention and possibly to some additional oil drilling as well.
James West: Great. Thanks, Olivier.
Olivier Le Peuch: Thank you, James.
Operator: Thank you, James. Your next question comes from the line of Scott Gruber with Citi Research. Scott, your line is open.
Scott Gruber: Yes. Good morning. I want to ask about the data solutions business. Morning. The data center solutions business, it's growing pretty quickly here. Actually becoming really sizable. Can you talk about the strategy for the business? Is the aim here to develop a skill set and take it global, you know, as data center construction goes global? And overall, how do we think about the growth for the data center business in '26 and beyond?
Olivier Le Peuch: Yes. I think it's early days, and we are very pleased with the market position we gained at a very fast pace. I think based on our first relationship and partnership with that hyperscaler gave us the opportunity to step into that market, building on our manufacturing and generating process technology and global supply and logistics that I think we have put to make it a reality. Now going forward, yes, the ambition is to expand beyond The U.S. footprint we have established. And we already have a pipeline of expansion here in Asia that has been agreed. And to also expand to more customers and diversify hyperscalers and collocators as we call them. To complement our offering. But yes, we will add technology. We will add the critical technology that makes it unique to go beyond the first step we have. So yes, we have an ambition to grow it. To expand customers, to expand geography. To broaden our offering. And remember, this is clearly not driven by oil and gas customers, it is driven by hyperscalers partners. That reach out to us to help them respond to this AI boom and data center growth that I think will last beyond this decade. Clearly.
Scott Gruber: Got it. No, very interesting. It's a bit of a different business. Is it fair to assume that there's little CapEx and balance sheet commitment with the business? Or is there an investment needed to grow this business?
Olivier Le Peuch: Absolutely. The investment is competencies that I think we have at scale in the organization. It's technology, creating a reputable scalable modular solution that differentiates us for fast deployment. But it's not CapEx, no. I think we are not this is a very very low CapEx intensity business. That we have set up here.
Scott Gruber: Excellent. We will continue to watch. Thank you.
Olivier Le Peuch: Thank you.
Operator: Thank you, Scott. Your next question comes from the line of Josh Silverstein with UBS. Josh, your line is open.
Josh Silverstein: Yes. Hi, everyone. Thanks for the new digital details here. Like the 7% growth in the annual recurring revenue. Is this growth predominantly coming from new customers or growing the new customer base, the existing customer base? Obviously, the 103% net retention rate shows how sticky the revenue is, but I am curious about if you need to keep adding customers to drive that growth going forward?
Olivier Le Peuch: I think we already have 1,500 customers, and I think we have a lot to grow with each customer we have. But yes, we are adding new customers in every new space where we develop technology. I think the digital operation, I think, is a discovery for many customers, and we are doing it every day. The platform application, I think the new offering Lumi and Lumi Data and AI platform, I think, is being delivered fresh from launch last Q4 to new customers, and as adoption has been already more than 50 customers in less than a year. I think it's remarkable. So I think we are very proud of this. So it's a combination of enhancing the adoption within customers, developing enterprise solutions, and enhancing the consumption and delivering more to an existing customer set. And also expanding and broadening our customer access for part of the offering that we were more confined to a few customers in the past. So I think we are broadening our offering with more access across all our customers, and we are strengthening for existing large customers, and you have seen announcements in the last, and you will see more announcements coming soon on customer adoption, large customer adoption. That reflects our success with those customers.
Josh Silverstein: Great. And then just as a follow-up, I wanted to go back on the EBITDA margin comments that you guys have made. You highlighted it was around 32% for the first nine months, but I think you said you expected to reach 35% for the full year, which implies a very large jump towards 45% in the fourth quarter. So I wanted to just make sure that was right and then where you think margins can kind of go to if we look at 2026 versus 2025?
Olivier Le Peuch: Yes, yes. We I confirm we did say that we think we can reach 35% EBITDA margin for the full year. And yes, it's a step up for the fourth quarter. If you look at actually at the pro forma statements we provided for the we include the digital division by quarter, back to 2024. This variability and seasonality is quite common. Actually, we always start very low in the first quarter, and margins as well as revenue, by the way, grow quarter after quarter. So Q4 is always the best revenue quarter and is always the best EBITDA quarter as well. So we are pretty confident we can get there. If you look into the future, 35% EBITDA margin is a good baseline to start from basically. By the way, if I if I can add something we've not discussed before on the mass EBITDA margin, except for the digital exploration part of it, is a very good proxy for free cash flow. There's obviously no CapEx in the digital business, again, except for exploration data.
Josh Silverstein: Great. Thanks, guys.
Olivier Le Peuch: Thank you.
Operator: Thank you, Josh. Your next question comes from the line of Arun Jayaram with JPMorgan. Arun, your line is open.
Arun Jayaram: Yes, that was my question on kind of digital capital intensity of that segment. So I was just wondering about as you think about, you know, longer-term growth from that segment, I mean, you mentioned that you think that it could help outstrip the core business by double digits. Was wondering if you could maybe elaborate on that commentary on growth from digital.
Olivier Le Peuch: I think there are two comments to it. One, as I said, is the adoption of our customers. Existing and new customers we developed in the last question. I think that the market expansion itself, digital is being seen as a critical mission-critical for many customers to transform the way they operate. To add productivity, to add efficiency to their geoscientist engineer and asset team. And I think this trend is here to stay. And we are leveraging our market leadership to leverage and to continue to grow our market position into that supporting our trend. But secondly, and I think more importantly or equally importantly, is our ability to continue to add digital operation capability digital growth, and hence this one will outperform the core because the principle we are setting here is essentially for every service we provide, for every well site we touch, for every equipment we deliver, we will progressively add building on our platform and connecting to our life performance center will add a set of digital services and enhance this offering that enhances the operation, the performance, and gets the customer to create more value. So this will ultimately and mechanically be going at a higher rate than the core because it will be the market penetration of digital into our core business. So you add this to the underlying trends of digital transformation with the earnings that we have witnessed in AI, I think you get the combination that gives us the confidence that we will clearly outperform the market growth of CapEx and outperform the core as a combination.
Arun Jayaram: Great. One follow-up, Olivier. I wanted to see if you could elaborate on your commentary on what would happen in the recovery. Your commentary suggests that you expect that international would lead in a recovery. Historically, it's been North America. So I was wondering if you could maybe just elaborate on that thought. Behind that commentary.
Olivier Le Peuch: Yes. I think we believe that tightened economics that we are under, and we believe we don't see them necessarily changing very much. We see them improving slightly as soon as the demand-supply rebalance. But under those conditions, I think we believe that the situation in North America is such that we don't anticipate significant gain of activity based on the efficiency. Practical based on, I would say, the challenging economics of some basins and also of the continuing consolidation happening in this market. By contrast, internationally, you have several trends that are here to stay. I think that deepwater has a very solid pipeline that drives international growth. You have gas and as a security of supply, that has led to capacity deployment, exploration capacity expansion, and non-commercial development internationally. And you still have the commitment to oil capacity expansion, if not the necessity to offset the decline in many international locations and aging basins that combine to make international, I would say, getting a better outlook and the first leg for the rebound as activity strengthens.
Arun Jayaram: Great. Thank you.